Operator: Good afternoon, everyone, and welcome to the DHI Group, Inc. Third Quarter 2025 Financial Results Conference Call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star and then one on your touch-tone telephones. To withdraw your questions, you may press star and two. Please also note, today's event is being recorded. At this time, I'd like to turn the floor over to Todd Kehrli with Pundell Wilkinson. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, and welcome to DHI Group's Third Quarter Earnings Conference Call for 2025. Joining me today are DHI's CEO, Art Zeile, and CFO, Greg Schippers. Before I hand the call over to Art, I'd like to address a few quick items. This afternoon, DHI issued a press release announcing its financial results for 2025. The release is available on the company's website at dhigroupinc.com. This call is being broadcast live over the Internet for all interested parties, and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements reflect DHI management's current views concerning future events and financial performance and are subject to risks and uncertainties. Actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include the risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, on today's call, management will reference specific financial measures including adjusted EBITDA, adjusted EBITDA margin, free cash flow, and non-GAAP earnings per share, which are not prepared in accordance with US GAAP. Information regarding these non-GAAP measures and reconciliations to the most directly comparable GAAP measures are available in our earnings release, which can be found on our website at dhigroupinc.com in the investor relations section. With that, I'll now turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone, and thank you for joining us today. I'm Art Zeile, CEO of DHI Group, and with me is Greg Schippers, our CFO. If you're new to the story, welcome. At DHI, our mission is simple. We help employers find and connect with the technology professionals who drive innovation across the US economy. We do this through two brands, ClearanceJobs and Dice, both with strong positions in attractive markets. Our model is straightforward. More than 90% of our revenue comes from annual or multiyear subscriptions. Customers who are employers or recruiters use our platforms to search, engage, and recruit tech talent. Our exclusive focus on tech occupations, brand longevity, scale of our communities, data insights, and continued product innovation give us a durable, competitive advantage. ClearanceJobs is the leading marketplace for professionals with active US security clearances, serving over 1,800 customers including Lockheed, Booz Allen Hamilton, Leidos, Raytheon, and many others. With 1,900,000 candidates on our platform, we have the largest number of profiles of US cleared professionals, giving CJ a significant competitive advantage as a platform for hiring cleared talent. Dice is essentially LinkedIn for tech hiring. Built over thirty-five years, with 7,600,000 profiles in our database, representing the vast majority of technology professionals in the US. While LinkedIn emphasizes a person's title, we focus on tech skills. Tech professionals on Dice actively update their profiles with new tech skills making it the most relevant platform for recruiters who need to source tech talent. Both businesses generate strong recurring revenue and robust EBITDA margins, particularly at ClearanceJobs, where margins run above 40%. Investors often mistake us for a staffing and recruiting firm, but we are an essential software tool used by employers and recruiters to find top tech talent for their open positions. Over 6,000 employers and staffing companies subscribe to our two SaaS platforms. Despite a mixed macro backdrop, and recent headlines, tech hiring has stabilized this year, although remaining under historical levels. While we don't have updated BLS tech job posting figures, due to the government shutdown, we know from our alternative source Lightcast, that new tech job postings were roughly the same as the second quarter. Dice is an essential platform for staffing firms. And according to the staffing industry analysts pulse reports, the median tech staffing firm in their membership is now growing revenue in low single digits compared to 2024. The most notable trend driving current and future tech worker demand is AI. At the beginning of 2024, approximately 10% of job postings on Dice required at least one AI skill. As of last month, that number has risen above 50%. As companies expand their use of AI, the need for skilled technologists that implement these projects will only increase. Platforms like ClearanceJobs and Dice with their combined databases of over 9,000,000 tech professionals, are an essential tool for employers seeking to find, attract, and hire the tech talent they need to fill these projects. Now I would like to provide an overview of our brand performance quarter, and outline the steps we've taken to improve our position moving forward. ClearanceJobs continues to generate strong margins and retain its leadership position, despite a bookings decline of $800,000 or 7% due to the government hiring freeze and eventual shutdown. But the long-term outlook is very favorable. The proposed $1.1 trillion US defense budget for fiscal year 2026 marks the largest single-year increase in peacetime history, representing a 13% increase over the previous year's budget. Historically, the defense budget has grown roughly in line with GDP growth rates of around 3%. So this is a significant year-over-year increase. Also, NATO countries are boosting defense spending to a target of 5% of their GDPs, which would represent a spending increase of more than $500 billion, with US contractors likely to secure a significant portion of this incremental spend. Traditionally, over 60% of EU defense procurement spending goes to US military contractors. These dynamics are promising for ClearanceJobs, with over 10,000 employers of cleared tech professionals and more than 100 government agencies also in need of cleared tech professionals, CJ has a significant growth opportunity as government contractors look to staff new projects. On the product side, we've integrated Agile ATS with our ClearanceJobs offering and are beta testing our premium candidate subscription ahead of its general release in 2026. Our first candidate monetization opportunity. As we announced last quarter, Agile ATS is the only applicant tracking system in the market designed specifically for the cleared recruiting environment. It's the only ATS on the market developed from the ground up to meet the unique regulatory and compliance requirements of government contractors. With Agile ATS now integrated with ClearanceJobs, we have begun offering a bundled solution to customers who want a seamless end-to-end cleared hiring workflow. Based on our analysis, we believe approximately half of our CJ customers today meet the target profile for this solution. With a historical average contract value of around $7,000 annually, we see strong incremental recurring revenue potential for Agile ATS, both from our existing CJ customer base and from new customers in the broader GovTech market. Additionally, we are excited about the opportunity for CJ to create a new recurring revenue stream from our new premium candidate subscription. We will be looking to roll out a similar offering on Dice in the future. With our Dice brand, the third quarter, we continue to face macro headwinds from tariffs, budget uncertainty, and higher interest rates. As a result, the number of new tech job postings remain around 70% of normal, resulting in Dice bookings being down 17% year over year. Having said that, as I mentioned earlier, we are seeing significant interest in AI-related job postings, which we believe will drive future tech hiring demand. During the quarter, we made meaningful progress with our Dice platform from a product perspective. More than half of our 4,200 customers, primarily smaller accounts, have now migrated to the new platform, with all customers expected to be migrated by 2026. This new platform allows existing customers to add new products to their existing subscription online. It also allows new customers to sign up for a subscription with a swipe of a credit card. The price point is $650 a month for the lowest tier subscription package, which is easier for smaller customers to manage than an annual upfront charge. This move to a more self-service model allowed us to reduce Dice operating expenses significantly moving forward. Looking ahead, even though the past few years have been difficult, we have successfully laid the foundation for future growth. Dice is increasingly becoming the go-to destination for AI talent. In ClearanceJobs, operates in a specialized high-barrier market at the intersection of defense, security, and technology, with significant upside from defense budget growth and NATO spending. Our subscription model and margin structure give us resilience. We continue to believe the market doesn't fully reflect the value of each distinct brand today, which is why our board authorized a new $5 million buyback program starting this month. Over time, as we execute, modernize our platforms, and grow our customer base, we see a clear path to meaningful continued shareholder value creation. And as always, remain committed to delivering solid profits and robust free cash flow for our shareholders. With that, I'll turn the call over to Greg to walk you through the financial results and our guidance in more detail.
Greg Schippers: Thank you, Art. And good afternoon, everyone. Jumping right in, we reported total revenue of $32.1 million, which was down 9% on a year-over-year basis and roughly flat compared to the second quarter. Total bookings for the quarter were $25.4 million, down 12% year over year. Our total recurring revenue was down 11% compared to the prior year, and the bookings that drive our recurring revenue were down 13% for the quarter. ClearanceJobs revenue was $13.9 million, up 1% year over year and up 2% sequentially. Bookings for CJ were $12 million, down 7% year over year. We ended the third quarter with 1,822 CJ recruitment package customers, which was down 8% on a year-over-year basis and down 2% on a sequential basis. This reduction is attributable to churn with smaller customers, whereas the number of CJ accounts spending greater than $15,000 in annual recurring revenue increased versus prior year. Also, as Art mentioned, CJ's new business teams were impacted by uncertainties surrounding the federal budget freeze and eventual shutdown. Our average annual revenue per CJ recruitment package customer was up 7% year over year and up 2% sequentially to $26,600. Approximately 90% of CJ revenue is recurring and comes from annual or multiyear contracts. For the quarter, CJ's revenue renewal rate was 85% and CJ's retention rate was 106%. This solid retention rate demonstrates the continued value CJ delivers in the recruitment of cleared professionals. Dice revenue was $18.2 million, which was down 15% year over year and down 1% sequentially. Dice bookings were $13.4 million, down 17% year over year. We ended the quarter with 4,239 Dice recruitment package customers, which is down 3% from last quarter and down 13% year over year. Dice revenue renewal rate was 69% for the quarter, and its retention rate was 92%. The reduction in customer count and Dice's renewal rate from the prior year quarter is mainly attributable to churn with smaller customers spending less than $15,000 per year, representing over 75% of the total churn on count, and who are more likely to be impacted by the difficult macro environment and uncertainty. We believe the introduction of our new Dice platform, which offers customers the flexibility of monthly subscriptions, will help reduce future churn among smaller accounts by lowering upfront commitment and improving affordability. Our average annual revenue per Dice recruitment package customer was $15,727, down 4% year over year and up 2% sequentially. As with CJ, approximately 90% of Dice revenues were recurring and come from annual or multiyear contracts. Despite this churn, both brands onboarded notable clients in the third quarter. For CJ, this includes Blue Origin, Boston Fusion, and CDW. While Dice landed HighIQ Robotics, Cloud AI Technologies, and Mango Analytics as customers in Q3. Let's move to operating expenses. For the third quarter, our operating expenses increased $1.9 million to $36.6 million when compared to $34.7 million in the year-ago quarter and includes a $9.6 million impairment of the intangible assets. Excluding the impairment, our third-quarter operating expenses declined $7.6 million or 22%. Because of the difficult market conditions over the past two and a half years, we have reduced costs through restructurings in 2023, in 2024, in January, and most recently in June. Together, these restructurings have reduced our annual operating and capitalized development costs by approximately $35 million. For the quarter, we had an income tax benefit of $800,000 on a loss before taxes of $5 million. Our tax rate for the quarter differed from our approximate statutory rate of 25% due to deduction limitations on executive compensation. The new tax law signed in early July allows for the immediate deduction of R&D costs, which will reduce our income tax payments in 2025 by over $2 million while also providing an incentive for technology spending in the broader US market, thereby increasing tech hiring. Moving on to the bottom line, we recorded a net loss of $4.3 million or $0.10 per diluted share in the third quarter. For the prior year quarter, we reported a net loss of $200,000 or 0¢ per diluted share. Net loss for the quarter was impacted by the previously mentioned $9.6 million impairment. Non-GAAP earnings per share for the quarter was $0.09 per share compared to $0.05 per share for the prior year quarter. Diluted shares outstanding for the quarter were 44.8 million shares, down slightly from the prior year quarter. Adjusted EBITDA for the third quarter was $10.3 million, a margin of 32%, compared to $8.6 million or a margin of 24% in the third quarter a year ago. Margin for the quarter benefited from certain expense savings that are not expected to recur. On a segmented basis, CJ adjusted EBITDA remains strong at $5.9 million in the third quarter, representing a 43% adjusted EBITDA margin as compared to adjusted EBITDA of $6.3 million or a margin of 46% in the prior year period. Dice's adjusted EBITDA increased $2.2 million or 56% to $6.2 million, representing a 34% adjusted EBITDA margin, which compares to $4 million and a 19% margin last year. Operating cash flow for the third quarter was $4.8 million compared to $5.5 million in the prior year period. Free cash flow, which is operating cash flows less capital expenditures, was $3.2 million for the third quarter compared to $2.3 million in the third quarter of last year. Our capital expenditures, which consist primarily of capitalized development costs, were $1.6 million in the third quarter compared to $3.2 million in the third quarter last year, a savings of $1.6 million or 51%. Capitalized development costs in 2025 were $400,000 for CJ, and $1.1 million for Dice, as compared to $600,000 for CJ and $2.5 million for Dice in the 2024 period. We are targeting total capital expenditures in 2025 to range between $7 million and $8 million as compared to $13.9 million last year. From a liquidity perspective, at the end of the quarter, we had $2.3 million in cash and our total debt was $30 million under our $100 million revolver, resulting in leverage at 0.86 times our adjusted EBITDA. We continue to target one times leverage for the business. Deferred revenue at the end of the quarter was $41 million, down 13% from the third quarter end of last year. Our total committed contract backlog at the end of the quarter was $94.3 million, which was down 9% from the end of the third quarter last year. Short-term backlog was $72 million at the end of the third quarter, a decrease of $2.2 million or 3% year over year. Long-term backlog, that is revenue to be recognized in thirteen or more months, was $22.3 million at the end of the quarter, a decrease of $500,000 or 2% from the prior year quarter. During the quarter, we repurchased 741,000 shares for $2.1 million under our stock repurchase program. For the year, we've repurchased a total of 2.6 million shares or $6.2 million under our stock repurchase program and from the vesting of share-based awards. Following the close of the third quarter, we completed the $5 million plan authorized in January and last week, our board approved a new $5 million stock repurchase program, which will begin this month and will run through November 2026. Moving to guidance, we are reiterating our annual revenue guidance of $126 million to $128 million. For the fourth quarter, we expect revenue to be in the range of $29.5 million to $31.5 million. We are raising our full-year adjusted EBITDA margin guidance to 27%, reflecting our cost management and operational efficiency. To wrap up, although the hiring environment over the past two plus years has impacted our revenue growth, we remain optimistic about the road ahead. We anticipate the record-breaking defense budget will be a growth driver for CJ and that companies across all industries will steadily increase their investments in technology initiatives, creating a strong growth opportunity for both ClearanceJobs and Dice. We remain focused on strengthening our industry-leading solutions, optimizing our go-to-market strategy, and executing with efficiency, ensuring we are well-positioned to capitalize on the opportunities that lie ahead. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Greg. I want to thank all of our employees once again for their outstanding work this quarter. It has been a pleasure to be part of such a great team. That said, we are happy to answer your questions.
Operator: Ladies and gentlemen, at this time, we'll begin the question and answer session. To ask a question, you may press star and then one using a touch-tone telephone. To withdraw your questions, you may press star and two. If you are using a speakerphone, we do ask that you please pick up the handset prior to pressing the keys to ensure the best sound quality. Again, that is star and then one. Join the question queue. We'll pause momentarily to assemble the roster. And our first question today comes from Gary Prestopino from Barrington Research. Please go ahead with your question.
Gary Prestopino: Hey, Art, Greg. How are you?
Art Zeile: Good. Good. Thanks. Appreciate it.
Gary Prestopino: How are you?
Greg Schippers: Good. Just fine. Thanks.
Gary Prestopino: Several questions, but I won't ask them all at one time. Somebody else can get in the queue. But the Dice margin expansion is just fantastic. And I guess there's no one-timers or anything in there. Right? It's that is just pure adjusted EBITDA numbers quarter to quarter.
Greg Schippers: So yes, Gary, I'll take that. There are a few, I would call true-ups in there. And so really what's driving that is we had some headcount vacancies during the third quarter that have now largely been backfilled. And then we also had a few kind of what I'd call year-to-date expense true-ups that, you know, were the result of some of our margin changes throughout the year and forecast on the revenue side. And then also as it relates to Dice, the tech team had a very efficient quarter. Therefore, there was more cost allocated to the capitalized development costs in the quarter as opposed to operating expenses. And really, that was a result of the delivery of the DX platform. That we've been talking about that was delivered in September and, you know, another release in October. So that team really zeroed in. And as a result, there was a classification from OpEx down to capitalized development. But from a dollar perspective, there was no change. Free cash flow on that. So I would expect that, you know, we're gonna return to a little bit more of a normalized margin on Dice next quarter.
Gary Prestopino: And what would that be?
Greg Schippers: So on Dice, you know, we had been running in the mid-twenties, so I would say we're gonna stay in that range.
Gary Prestopino: Okay. Thank you. That's helpful. And then what was the write-off for $9 million? Was that in Dice or ClearanceJobs?
Greg Schippers: Yep. It was the Dice trade name. So which is directly related to Dice revenue. Trade name valuation uses a technique called a relief of royalty rate and so you apply a third-party royalty rate to a revenue stream. And discount that back. And so that's the nature of that test that has to be done every year. And, you know, it resulted in impairment in this case given the revenue declines that Dice has experienced.
Gary Prestopino: Okay. And then last thing I want to ask about capitalized development, you're looking at $7-8 million for this year. Given what's going on in the market, particularly with Dice, do you see that that changes in any way to the upside next year? Our spending on Capdev, will it get better next year as in decrease?
Greg Schippers: I don't anticipate we're gonna have a significant decrease next year because our teams are pretty well put together now. I think we have the right staffing levels. And so, you know, we'll continue largely at a level similar to what you would see this year. Maybe slightly less given that the first part of the year, we had more employees before the restructure that happened in June.
Gary Prestopino: Thank you.
Operator: And our next question comes from Zachary Cummins from B. Riley. Please go ahead with your question.
Ethan Waddell: Hi. This is Ethan Waddell calling in for Zachary Cummins. Thanks for taking my questions. I guess to start with the I think you said 70% bookings declined from government volatility. Maybe can you speak to how much of that impact you're seeing from government shutdown versus maybe government efficiency initiatives, just broader volatility? And how do you view that being offset going forward in light of the robust defense budget?
Art Zeile: So, ultimately, I think that we have seen a lot of the smaller and midsized defense contractors become more conservative over the last let's say, three to six months. We're entering a period of time right now, specifically in December and January, where we have a seasonal high amount of our larger enterprise bookings take place. And these are with firms like Lockheed and Raytheon and Booz Allen Hamilton. They are actually feeling much more bullish because they can obviously withstand the government shutdown. They could withstand kind of turbulence of the market in general. They have larger balance sheets. So I personally think that we're getting now to the point where people acknowledge that the $1.1 trillion budget is going to be a big benefit to the defense establishment in the United States in total. We mentioned also the impact of NATO spending is positive for the US military establishment. I would say that we have to get to the actual bills being passed and signed into law by President Trump. So there's still a process of reconciliation between the house bill, the senate bill, and they've gotta be debating this. They have to essentially make sure that the reconciliation process happens. This year, it took until February, March for the reconciliation to take place. So really have an estimate as to when this is gonna happen for fiscal year 2026. But there seems to be more urgency I have to say, also, with the administration. The articles you read just about every day indicate that Secretary Hegzip wants speed to be part of the equation for getting more military gear and weaponry and preparedness into the hands of our warfighters.
Ethan Waddell: Got it. That's some helpful color there. Thank you. And then in terms of the new platform migration, it's nice to see that you're seeing traction there. I guess, are there any particular actions that need to be taken to onboard the remaining customers that you have by first quarter? And do you expect any uptick in churn with your final customers on the legacy platform?
Art Zeile: So I would say that much like any major technology implementation and any feature that's delivered on either one of the platforms, we always make the migration to our smaller customers first. Because it's just a risk-off kind of way of moving through waves of customer migrations. And so we've had a very good experience with those customers moving over. We've moved over half of them. I personally do not perceive that there is churn risk with the remainder of the customers that we move. Now they become the mid and large-sized customers, so the stakes are higher. But I think that we've also honed the process by virtue of these small customer migrations.
Ethan Waddell: Thank you. That's all really helpful. Appreciate it.
Operator: Our next question comes from Max Michaelis from Lake Street. Please go ahead with your question.
Max Michaelis: Hey guys, thanks for taking my questions. Few for me. First, kinda wanna start with just the macro in general. I know you said Dice seems to be stabilizing. Play devil's advocate just a little bit here. The bookings seem to bookings declined seem to increase from last quarter, so down 17% versus down 16%. Can you kind of characterize the stabilization you are seeing in the market just to kind of give me a better sense?
Art Zeile: That's a good point to say that ticked up by one percentage point versus the last quarter. I would say the two things that are giving me confidence personally then I'll turn it over to Greg. Are that you know, we are seeing this slow and steady increase in the number of new tech job postings. And they are very much AI-related. So I believe that that is indicative that the United States economy is moving towards one that is going to accept AI at ever larger scale. And then I'd say, the third quarter is traditionally our smallest renewal book. For the business. And it consists of our smaller customers. So I don't think that it's necessarily a matter of the percentage point decrease that really should be focused on. But Greg, do you have additional thoughts?
Greg Schippers: Yeah. The one other thing I'd mention is the amount of inbound opportunities has started to pick up a bit. That doesn't necessarily translate quite yet to bookings, but is a little more activity in that area too.
Max Michaelis: Okay. And there have been for a while. Makes sense. And and you do brought up AI. What percentage of your job postings on your platform and maybe I know a lot postings probably mention AI, but how many are actually related to an AI-related job? I guess, I don't know how to characterize that. But let you take it.
Art Zeile: So over 50% as of October are related to an AI project. So the person is being hired specifically to tackle an AI project for the firm that's hiring them. And that's grown from 25% at the beginning of the year and 10% at the beginning of 2024. So it is a very significant trend from our perspective.
Max Michaelis: Wow. That's a lot. And then the last one for me. It's a little if we look out kinda into the future, I know you guys acquired Agile ATS a few months ago. But, I mean, is there any other opportunities out in the GovTech space that you guys can go after? That's it for me.
Art Zeile: Yeah. That's a great question. I would say that we are evaluating a number of them. I think that CJ is a great platform. It has a great reputation with its customer community, has high credibility. Has always been the platform of choice for anybody that is hiring cleared technology professionals. So I do think that there are adjacencies. In fact, we always show a diagram to our board that says that talent sourcing is just one part of the whole end-to-end process for hiring an individual, onboarding them, and then managing them. In the cleared context or any context. So I think that there will be more opportunities for us in the future.
Max Michaelis: Alright. Thanks, guys.
Art Zeile: Thank you. I appreciate it.
Operator: To withdraw your questions, you may press star and 2. Our next question comes from Kevin Liu from Kevin Liu and Company. Please go ahead with your question.
Kevin Liu: Hi. Good afternoon, guys. Maybe just starting with CJ, and I apologize if you had dropped in your prepared remarks. You joined a little bit late, but can you put a finer point in terms of how kind of renewal activity versus new business activity has kind of trended since the shutdown? And then your sense as to any sort of pent-up demand that could come through assuming the shutdown ends shortly?
Art Zeile: I think those are the exact right questions to ask. I would say we have seen a solidification of renewal rates in the third quarter and even moving into the fourth quarter. Our bigger customers definitely feel bullish about the future. And as I kind of indicated in one of the answers, they have the balance sheets to withstand whatever kind of a government shutdown we actually endure. It's been the smaller and medium-sized customers that have been more challenged even with new business activity. But I'd say new business activity has picked up and we have seen a bigger pipeline than we have in a long time. Speaking to the second part of your question, which is I think that if once we get back to the business of running the government, I do think and we have to have a defense bill passed or actually, it's a multitude of different bills that constitute the defense budget. Then there will be more activity, more projects that will allow these smaller defense contractors to feel really good about where they stand with regard to their future success, and therefore, their willingness to purchase a platform like ClearanceJobs.
Kevin Liu: Got it. And maybe switching gears to the new Dice platform. Can you talk I know it's still early days, but maybe talk a little bit about what you're seeing in terms of new customer signs and, in particular, how that kind of impacts your cost per acquired customer. And then anything notable in terms of, you know, customers that have migrated over and kind of their renewal rates or upsell potential.
Art Zeile: Yeah. I think that, obviously, this is pretty new for us. And I have to say that with regard to the idea of swiping a credit card, what we found is that the customers are less willing to do that for an annual subscription even the lowest tier of package. Because it involves roughly about $6,000 to $7,000 and so that's a large charge at one point in time. Once we rolled out the monthly option, which, I mean, as you're well aware, is part of a lot of different B2B and B2C experiences. That's when we saw the number of people signing up start to escalate. So, you know, $650 for a month worth of Dice seems like it's a lot more tolerable, a lot more kind of like from a psychology perspective. More acceptable. So that's what we've seen so far. I know that Greg is working on how to essentially report that for the future because most of our reporting metrics in the past have been associated with subscription activity. We do have what we call transactional or non-subscription activity, but I think that's gonna be a part of how we essentially report progress in the future is a lot of people will be taking especially new customers, this monthly option. But, Greg, do you have any additional thoughts?
Greg Schippers: Yeah. I would just point out that at this stage, we haven't advertised anything new around the platform, and that is gonna get kicked off this week. So we're very interested to see how that takes off with an advertising campaign that's coming up. But we're getting new customer relationships on there literally every day. With no advertising, kind of no focus on it. Yet. So it's only been out there a few weeks, and I think early results are pretty good in that respect.
Kevin Liu: Yeah. Interesting. And just so I can clarify, it sounds like your current reporting metrics around customer recruitment packages since that on an annual basis, you're not including any of these customers.
Greg Schippers: Yeah. We're working out still the kind of fine-tuning the best way to that information. If you think about a self-service versus a managed customer relationship for instance, it's gonna change a little bit on how we think about the business and how we report it through our calls and investors and analysts. So we'll be forthcoming with that probably, you know, in our Q1 call. Oh, the call in February.
Kevin Liu: Alright. And just lastly for me, you know, it's good to see the buyback authorization the other day. You talk a little bit about kind of your appetite for being aggressive on that given where the stock price is currently and trying to balance that with some of the ongoing uncertainty both with the shutdown as well as the macro conditions?
Greg Schippers: Yeah. There's always a balance with capital allocation, of course. And, you know, our board is comfortable with one times leverage. And so we're gonna continue to target in that neighborhood where you know, a bit under it right now. We're a bit over it last quarter, I think. And so we're comfortable with this $5 million plan. And, you know, it definitely will keep continue to evaluate it. As we move through the next couple of quarters and as we evaluate our 2026 plan. And kind of see where it takes us. But right now, I think we're pretty comfortable with that mix.
Kevin Liu: Alright. Thank you for taking the questions. Nice job on the EBITDA performance this quarter.
Art Zeile: Thank you. Thanks, Kevin. Appreciate it.
Operator: And with that, ladies and gentlemen, we'll be concluding today's question and answer session. I'd like to turn the floor back over to Art Zeile for any closing remarks.
Art Zeile: Thank you, operator, and thank you all for joining us today. And as always, if you have any questions about our company or would like to speak with management, please reach out to Todd Kehrli, and he will assist in arranging a meeting. And thank you everyone for your interest in DHI Group. Hope you have a great day and week to come.
Operator: And the conference has now concluded. We do thank you for attending today's presentation. You may now disconnect your lines.